Frederick Bell: [Call starts abruptly] And I'm Frederick Bell, the CEO and we will walk through the slides together. And at the end, we'll open it up to Q&A. We'll be making some forward-looking statements in the course of this webinar. And please, again, any questions at the end, happy to run through where we can. As mentioned, myself and Dave here to walk you through it. So getting straight into it. Q3 2024, it was a strong quarter of revenue, up 32% on the comparable quarter in 2023 and that was adjusted royalty revenue of $3.7 million and adjusted revenue of $4.8 million. EBITDA adjusted of $3.7 million. That's about 70% up on Q3 2023 and adjusted cash flows from operations of $2.8 million which is up about 44% on Q3 '23. So what we saw here was, we saw significant margin growth on EBITDA and cash flows on revenue coming in this quarter versus 2023 Q3. In terms of guidance, I think we tightened the range on the revenue side. So it's now $21.6 million to $23.1 million. And in terms of gold equivalent ounce guidance, that's GEO guidance, we have reduced that slightly from 10,000 to 11,500 to 9,000 to 9,500 -- and a large driver of that was Diba which is now known as Korali-Sud from the operator Allied. And I think, look, it's been fairly well publicized that there have been delays in Mali around permitting and we're originally expecting this royalty to kick in as per Allied's guidance midyear. And they said in their results that it came in, started production at the end of Q3 and coming into Q4. But I think for us, look, we'll give a full year guidance for 2025 when we expect it to materially kick in. And so, we have effectively excluded that for now from our guidance to '24 until we get some better updated information there. In terms of the balance sheet, we, in conjunction with the AlphaStream acquisition, where we doubled our interest in a number of royalties: Bonikro, Ballarat, SKO alongside exploration ones in Australia. La Mancha exercised our anti-dilution right and put the company in a net cash position as of November. So that's the first time, I think, in a number of years that we've actually been in a net cash position. And we subsequently announced Royal Bank of Canada joining our credit facility alongside National Bank and CIBC and that takes us to a position today where we effectively have $50 million between cash and undrawn amount on the credit facility to deploy going forward and an increasingly strong position financially with that margin expansion that we started to see in Q3 and that should continue into Q4 and Q1 next year as that royalty revenue ramps up. And lastly, continue then to look at strong opportunity pipeline that we see going forward and we're actually in a very good position to be able to execute on. One quick slide here to remind everyone, the acquisition that we announced in October that was the consolidation of the AlphaStream portfolio. And for those who aren't aware, this was the remaining 50% on a number of royalties that we had managed but only owned half of; with AlphaStream and they came in as an equity holder as part of that transaction and they are today about a 14% shareholder and we've worked with them on this portfolio for the last 2 years but it immediately adds approximately -- the royalty revenue is attributable to us from the 1st of October and it immediately adds about $6 million in revenue for 2025 and that's at no additional cost. So I think when we see that margin expansion in Q3, that was before the contribution from AlphaStream and it was before the contribution from Diba. So those assets coming in and all cash flowing should add material revenue but also really importantly, all that margin growth we've just started to see going forward. And we will put out our official guidance at the beginning of 2025 but consensus at the moment, pro forma 2025 revenue is about $37 million versus the -- I think, sort of $20 million, $22 million that we're guiding for, for this year. I might hand over for the next couple of slides to Dave, our CFO and he can walk through some of the asset-specific updates and also a bit more detail on the financials.
David Baker: Thanks. Thanks, Fred. Yes. So as a strong quarter from the assets, I think we're definitely benefiting from a higher gold price, definitely seen that at Karlawinda, where revenue continues to be over that $1.2 million. I think most excitingly for the asset there is the expansion that they've announced to 30% expansion there to 150,000 ounces of gold targeting from 2026. And that's all would be directly attributable to us. And then obviously still maintaining a 10-year mine life, at an extremely long-life Tier 1 asset. So plenty of growth in that portfolio there, guiding to 110,000 to 120,000 ounces for the year to June 2025. Caserones, we have -- it was a little lower there and that's really just a difference between timing of production and sales. As a royalty company, we get paid on sales, not production. Lundin has said in their guidance that, that will unwind through Q4. So we expect to catch up for that in Q4 with copper prices remaining strong. Guidance, again, very happy to see that they're guiding to that 121,000 to 125,000 tonnes of copper, a bit lower than when they upgraded in Q2. They've been affected by the labor dispute, since resolved but it's really in line with that original 2024 guidance of 120,000 to 130,000 tonnes, aiming for sort of $6 million of revenue plus from Caserones. They are doing really well there under Lundin ownership. Diba is going to be the real contributor. As Fred says, we know, it's just awaiting a guidance from Allied for production in Q4. So we have taken that out of our guidance for 2024. Any royalty revenue that we get will be incremental and all upside to us. So yes, really, really encouraged to see what production and sales we're going to get out of Korali-Sud, new name for Diba. And Allied have been quite clear how significant that mine and that deposit is going to be as they look to fund the CapEx for the sulphide circuit at the Sadiola complex. As you say, their production -- initial production there has been better grades, better recovery; so very encouraging. I think this will turn into our -- one of our largest royalties, particularly quickly. Great quarter at Bonikro. We're now getting more than 98% of the ounces coming from areas linked to our royalty. So that's very exciting. Allied have also been clear that they're exposing higher-grade materials in 2025 and 2026. So with that, combined with effectively doubling that revenue from Q4 means that we're -- yes, this will become on a rolling basis, our largest royalty in the portfolio with that fully exposure to gold prices. Wahgnion has had a bit of change of ownership from Endeavour to Lilium, now operated by the state of Burkina. Production, a little bit lower in Q3 but they are continuing to explore, continuing to aim for that 120,000 to 140,000 ounces of gold a year. We still talk to the same people on site and still get paid by the same group. So yes, very encouraging to see the outcome of what happens to Wahgnion. In terms of where we're going, so as Fred said, just to be extremely conservative, we have taken Korali-Sud, Diba, out of the guidance; and so that results in an adjusted guidance of 9,000 to 9,500 ounces. That will result in record 2024 revenue and there's significant organic growth in the portfolio in 2025 and 2026. The real near term, too will be Bonikro which is obviously performing extremely well and now we've got a full 4.5% royalty there, first production and first royalty revenue at Diba expecting a full contribution -- full year contribution in 2025, quickly becoming one of our largest royalties. And likewise, at Ballarat, now they're well settled under new owners and with doubling up of that royalty through the AlphaStream transaction, we're looking forward to seeing what they can do to increase production and implement mine upgrades to get costs lower and increase production. Slightly longer term, I think, into 2026, we've got incredibly exciting expansion plans at Karlawinda, so 50% throughput, reducing rehandling of lower-grade material. So we should result in a 30% expansion up to that 150,000 ounces a year, still maintaining that 10-year life. And the operators there have been exceptional at reserve replacement even in the short time that, that mine has been operating. In terms of the financials, I think it really does show a couple of things is: number one, the exposure to gold price. So while we have gold equivalent ounces are up 3% this time last year. We've got adjusted revenue, that's including Caserones, up 32% to $4.8 million. I think we're really proud of that EBITDA is a record for the company. Adjusted EBITDA there of $3.7 million and it's a quarterly record, up 72% from this time last year. And that's really reflecting the lower cost base of the company and the lower cost we're accruing which will translate into more cash flow. Likewise, operating cash flow after working capital, adjustments there of $2.8 million. That's up 44% from this time last year. So it's a real strength of the model where we're getting costs lower and then we've got that full exposure to gold price which should deliver extraordinary growth in margins. Yes. So in terms of that bridge, so we've got obviously revenue plus Caserones, dividends after tax. G&A is considerably lower year-on-year following the monetization of the Royalty Generation business and that's into some of the core assets for the company. Most of the tax we pay is at Caserones which is obviously included in that post-tax dividend number. And yes, it's a bit lower this quarter just because of timing. We had a couple of one-off working capital outflows in the quarter, that will be nonrecurring. And I think importantly, the rapid deleveraging of the company is showing that net interest number coming considerably down. I would have thought given we're in a net cash position as of today, we'd expect that interest paid to be negligible going forward, subject to obviously, transactions that we do. And so how does that work for cash evolution for the group for the quarter? So we generated $2.5 million [ph] of free cash flow in the bank. We completed a royalty acquisition in the quarter. That was the acquisition of the tungsten -- the 2 Tungsten royalties operated by Fireweed -- Mactung operated by Fireweed. And so that's a $3 million initially upfront. And then yes, some small proceeds from disposal representing the final monetization of the royalty generation business there to leave us with $6 million as of 30th of September. But as of today, that's $20.1 million in the bank following the La Mancha private placement. Just a couple of things as how we think about the P&L. Just for accounting reasons with Caserones, we don't report that as revenue. We've got to do equity account that. So you'll see that at point 1 at the share of profit from associate. So we represent the profit, so that's after tax and depletion as a separate line. We've got a couple of gains on disposals. These will unwind over time. Historically, we've had a few losses as well. That's point 2 there. Again, these are nonrecurring. And then just see how we back out that adjusted EBITDA number. So we have our unadjusted EBITDA there at the bottom and then back out the depletion and tax that we have at Caserones to get that $3.7 million which again, I'd say is a record for the company for a quarter. I guess not included in some of our forecasts are the milestone payments and buybacks that we're expecting. I think the key ones there are going to be $1 million after 90 days after commercial production at Korali-Sud. We're also expecting nearly $10 million in April next year as part of the settlement at Ming. And then in -- towards the end of H1 next year, the right for Arizona Sonoran to buy back that 0.14% of the Cactus royalty. That right expires. We fully expect that to happen as well. So we are looking for considerable payments, nearly $12 million of one-off payments next year; so that should be quite material for us. Yes. So in terms of performance, as I say, the assets have done okay, obviously benefiting from a higher gold price, leading to that $4.8 million of adjusted revenue and GEOs, I'd say, just slightly up quarter-on-quarter. But I guess this is the benefit of being fully exposed to gold price. We expect this to improve not just through the AlphaStream acquisition but obviously made in production at Korali-Sud, so Diba from -- some in Q4 but a real full year contributor in 2025. The benefit of the real cost reduction and focus on growth in the business has been a growth in margins. So as you can see there, even with slightly lower revenue for the quarter, we got record EBITDA and record EBITDA margin. This is even premerger days, so up towards 77% and we would expect this trend to continue as revenue grows and we maintain or shrink the cost base of the business. In terms of the capital structure post AlphaStream deal, so this is as of today, our market capitalization is about $200 million with about $20 million in the bank leading to an EV [ph] of just on $200 million. La Mancha with exercising their anti-dilution right, come in at -- remain at a 32% shareholding with AlphaStream joining the register at 14%. As we said before, we've incredibly well supported from strong institutional shareholders, some of which have been with us since our private days. I think encouragingly in the quarter as well, we've added another analyst, a covering analyst with National Bank. So great to have 4 banks covering the stock. And as Fred said, we've now got a 3-bank syndicate with that $50 million facility. So with NAV -- led by National and CIBC and RBC means that we've got, as it stands, $50 million of available liquidity for royalty acquisitions without having to dilute our shareholders Ascent and that will increase every quarter through free cash flow from the company. We're incredibly attractively valued. Obviously, with our revenue focus, we look very strong on a market cap to revenue basis, that's using broker consensus. And on a price to NAV, given the focus and the strong focus on producing royalties, we remain very attractively valued on an NAV basis as well. Fred, I might pass it back to you to summarize just before we pass over to any Q&A.
Frederick Bell: Thank you, Dave and thank you, everyone, for joining. So look, in conclusion, Q3, I think, started to show some of that benefit in free cash flow margin coming through to the business. And with the addition of the AlphaStream half of the portfolio from the 1st of October and with Allied's announcement that Korali-Sud, formerly known as Diba is now in production, that combined really will drive our revenue growth and then our margins going into Q4 and Q1 next year. And I think being in a net cash position, it puts us in the strongest position we've been, as Dave alluded to, to really deploy capital into new acquisitions and to do it in a way that we don't have to be diluting our shareholders to do it. So that's a really strong position for the company. And I think if you look at the metrics on a per share basis, when Elemental and Altus merged in 2022, I think we had -- we're close to a similar number on a revenue per share metric. But the big change since then has been the addition of about 70 royalties in the Development and Advanced Exploration phase. So we've been able to maintain those revenue per share numbers but at the same time, building out development pipeline in the portfolio and continuing to add to it. And as we said, we've made one acquisition in the last quarter, building that out. We've done it last year as well and we'll continue to look at producing and also development and advanced exploration assets going forward. So from where we sit today, we think it's a very compelling pace. We have a very, very strong revenue profile. We have really good organic growth in the portfolio going into 2025 and 2026. We have 2 really cornerstone assets in Karlawinda and Caserones that will underpin the portfolio in our opinion for decades to come. We have organic growth coming in from Q4 onwards. We continue to make acquisitions where we see really good opportunities and the addition of AlphaStream to the register and La Mancha exercising their anti-dilution right, I think, has strengthened our shareholder register and exemplified the support that we have. So where we sit today and particularly looking at current commodity prices, gold and copper, principally relevant for us, we're in a very strong position to continue to go out there and really add value to shareholders through making new acquisitions. And I know a lot of shareholders are on the call and have been supporting us. So thank you for your support. And for anyone new who's listening and looking at the company, we always make ourselves available to talk. And if you do have any questions, please feel free to reach out. And with that, I might hand back to Dave and if there's any questions in the Q&A.
David Baker: Yes. So, I think there is a Q&A button at the bottom of your screen, if you would like to ask questions.
Operator: There are a few people raising their hands to me.
David Baker: Yes. And then maybe -- could you unmute Simon Wildsmith from Canaccord.
Operator: Sure.
Simon Wildsmith: Can you hear me?
David Baker: Yes, absolutely.
Simon Wildsmith: Sorry, I'm having trouble hearing you guys now.
Frederick Bell: Hi Simon, we can hear you.
Simon Wildsmith: Okay. Maybe I'll -- I can't hear you guys but maybe I'll ask my question and I'll figure this out. But I want to say congrats on the quarter. I'll get a couple of questions. But you guys noted earlier this year you were expecting about $20 million in payments from the portfolio over 2024 and 2025. I wonder if you could just remind us sort of what that consists of and then what's come in so far and what you're sort of still expecting?
David Baker: Yes. Let me just jump back to that slide. It's a great question, Simon. So if you see the slide we have here, so we have already received -- we've already received just over $3 million from the sale of the initial part of the Ming stream settlement. So that's going to be a total of just over $13 million versus what we paid just over $11 million. We've also sold some noncore investments that came from the Altus merger, the Canyon Resources shares. Where else we've come? So we've received $400,000 and that came from the consideration of -- the deferred consideration on the sale of the Egyptian licenses. We're the third largest landholder in Egypt. We've sold that to a company called In2Metals, a private company and they're carrying us -- we have free carried for 20% of that company for $10 million of exploration, plus a royalty on all of that ground. We also received a discovery bonus, the first $0.5 million at SKO. I would note as well that we've doubled up on that with the AlphaStream acquisition. So any further discovery bonuses would be that full AUD1 million. And then, yes, the real large ones are expected to come -- really expected to come next year. So that first $1 million on Diba commercial production. There's also another $2 million on Diba producing 100,000 ounces of gold. Now will that happen next year? I think that's probably TBC. So we've been a bit conservative and maybe push that into 2026. But yes, that first $1 million on commercial production at Diba. And then obviously, as we discussed, the $10 million there, half cash, half equity in FireFly Metals, the Australian listed company and that was part of the acquisition and disposal of the Ming stream. The other key one there is the $2 million -- $1.9 million that we'll expect to get from Arizona Sonoran as part of their buydown of the royalty.
Simon Wildsmith: Okay. That's great. I wonder if I could ask one more question. You guys have done a great job paying down debt this year. I wonder if you can let us know if that's sort of -- you guys, I think you have $20 million left on the revolver. I wonder, are you guys still focused on paying that down? Is that still a priority? Or are you sort of pivoting now? And also sort of wondering sort of how is transaction opportunity there? Is there lots of traffic? Or yes, I guess just what's capital allocation towards the end of the year and into next year?
David Baker: Absolutely. Maybe I'll do this one at a time. So yes, definitely keen to delever and also keen to use that revolver like a revolving credit facility. So we are able to come in and out of it. And so yes, we obviously have been aggressively paying it down. We will continue to do that. Obviously, if we do need it for transactions, we can access that cash incredibly quickly with a few limitations on what we can use that for as well. So yes, the idea is to get debt free as quickly as possible. And then, yes, you have that available liquidity with the banks to use -- so building a cash pile and then also having the facility for transactions. I'm sure the banks will be supportive of increasing that as well for the right, obviously, cash flowing acquisitions. And obviously, the cash on hand, we keep high interest saving accounts as well. So we get pretty reasonable interest on that as well. So it's not -- definitely not being wasted. In terms of the pipeline, I think, yes, it's without exaggeration as strong as we've ever seen. We've definitely been focusing on third-party acquisitions, identifying those ourselves through the database through the contacts we have and really looking to stay away from sort of auctions and competitive processes and really going back to, I think, what we're good at which is acquiring third-party royalties that we've identified over the years.
Simon Wildsmith: Okay. That's great. Yes. No, happy to see you guys continue to delever. That's all I have.
David Baker: I think we've got another question there from Remy.
Unidentified Analyst: Is that Remy or is that Keith? That's Remy. It's okay. Can you hear me?
David Baker: I can. Loud and clear.
Unidentified Analyst: Okay. You've got me as Remy but it's Keith Moss [ph] speaking.
David Baker: Hi, Keith. How are you?
Unidentified Analyst: Yes, I’m fine. Thank you. I've been a shareholder, I think, now for 2.5 years, coming in around $1.50, I think, from memory; 2 years ago, when you had a placing or new raise, it was I think, done around this $1.25. And what I don't understand or see, you just now quoted under compelling valuation delivers exceptional returns and value to shareholders. Well, discounting the price that I paid over 2 years, there's been no value to shareholders whatsoever. You can focus on EBITDA but I stand corrected because the slide changed quite rapidly. But in the 9 months, you had a revenue of $14.7 million revenue. But I believe on 9 months, you still have no profit before or -- after or before tax. So, no profits to distribute even if you were thinking of doing that. So when you say compelling valuation, despite the gold price going up 30% in this period and the progress you seem to be making on EBITDA, nothing is flowing through to shareholders. And I just wonder, the valuation, the share price hasn't moved, whether or not it's cheaper or more expensive than the peer group. But where is the value for shareholders? What are you waiting for? Each deal you do, it seems it's a bit like a treadmill. So what do you see that's going to bring about a re-rating of the shares and when?
David Baker: Keith, yes, great question. Maybe I'll just jump in on the financials and then I'll definitely let Fred talk to a bit more of the strategy. So I think in terms of the near-term catalysts, where really we are at a pivotal point from the company. So post-merger, there was an active decision by the Board to monetize and create value from a generation business. And so this has been quite an active process for us to running processes on these different active exploration businesses which has resulted in a bit of staff turnover and also quite a few sort of one-off costs. Now we've come out of that incredibly strongly, with one of our largest growth royalties which is Korali-Sud, Diba, as a direct result of that. And then some of our highest conviction exploration upside but still early stage in Egypt with 1.5% royalties on all of that ground. But the question is, what changes and I think what gets people to pay attention. And I think it really is going to be going forward, that growth in cash flow. So we are going to have, looking forward, considerably lower G&A year-on-year. We're going to have considerably higher revenue year-on-year. And that really will result in growth of cash flow margins considerably higher than all our peers and more comparable to and closer to the sort of mid-tier royalty companies which, one, I think we demonstrated in our financials and we did have a profit this quarter versus this time last year, a loss of over $2 million whilst we were starting to unwind some of that business. I think you'll see that. And then what we will also be able to do is contemplate returns to shareholders but then also best how to use that cash for non-dilutive acquisitions, accretive acquisitions to shareholders. Fred, did you have anything else?
Frederick Bell: Yes. And Keith, look, maybe in terms of -- since the merger with the generation side of the portfolio and the royalty side combined, I think we have seen some of the assets that we had in their development stage, Bonikro, I think we're expecting to come in earlier than it did. Since Q4 last year, it's been in full ramp-up road. And then with Diba and now Korali-Sud. Again, I think we expected that around June this year. And again, it's been delayed a bit and they say they're now in -- producing from it; so from this quarter, a full production from that. But I think really, when Dave talked to the margin numbers, when we did the merger with Altus, I think we had 21 people combined on the sort of team internally. And then, we had about 70 people through the subsidiaries on a lot of those exploration JVs and projects. And if you look at us today, we have a headcount of about 12 people in total. And so 95% of those -- with those people, with those assets and working on those projects, they went with the partners we brought in, whether that was Allied Gold in Mali, it was Aterian in Morocco, or In2Metals in Egypt, a lot of that team and a lot of those people went with those groups who had the financial ability to continue to progress the projects. And so what we've seen is in Mali, Allied has spent a significant amount of money. They've built -- since we did the deal last autumn, they built a 12-kilometer haul road. They increased the resources at Korali-Sud. They declared a maiden reserve. They've been actively drilling more there this year than I think has happened in many years gone past. In the case of Egypt, they completed their first drill program last year. They're currently undertaking a second drill program. That hasn't been -- they haven't announced the results of that yet and they're a private company but anticipate they will. So I think a lot of those assets that were earlier in the development pipeline and stage that you would have been familiar with in the exploration side of the portfolio. I think a lot of those are actually being progressed much faster than we would have been able to progress them ourselves and now without the direct cost that we have to do ourselves. So yes do those assets get value in the business and in the portfolio today? I don't think they do. I think that when we look through the assets and we talk to the relative valuation, I think that is supported by the producing assets. I think a lot of the additional 70 assets we have in the portfolio ranging from development, pre-feasibility stage, copper assets in Arizona all the way through to a large exploration, high risk in Egypt, all of that is probably doesn't get a lot of value in that portfolio today. And that's partly a reflection of the market and where it's at. And I think a lot of exploration assets and earlier-stage projects, the valuations for those have come off significantly in the last 18 months. Mining is a cyclical business, we know that. The reason we focus so much from the beginning of the company on building a portfolio that had revenue that had diversified revenue and that could really generate free cash flow was to make ourselves -- put ourselves, a, be resilient in the downturns but b, when there are those, put us in a position where we can actually invest countercyclically through the cycle. And looking at us today, we're able to do that to continue to invest in it -- in assets. And some of those assets, the Cactus royalty that we bought last year in Arizona and the Mactung royalty that we bought in Canada earlier this summer. Those are assets that I think we're very confident will turn into actual mines and have long mine lives ahead of them and those royalties will be worth multiples of what we have acquired them for. But those sometimes happen with specific catalysts and updates from the operators on the timing. So look, I appreciate the frustration on the share price and we feel ourselves. When we have had open periods, I think the Directors and Board and Management rather, I don't think anyone has sold the share. I think it's only seen buying from insiders in the periods we're able to because I think we continue to see compelling value at the share price we're at. And going into next year, I think the consensus revenue for us is -- and then, it will be adjusted as we come in. But I think the consensus revenue is about $37 million for next year and we're going to see some one-off payments around that coming in as well. So we should be sitting next year in a position where we are on an increasingly large amount of cash and that gives us options in terms of what we do with it and how we deploy that. And that will be between growth options, acquisitions and also other options to consider in terms of things like dividends. But I hope that answers some of your question.
David Baker: Thanks, Keith. I think, Fred, I think that's it in terms of questions. So I'm going to leave you to sum up.
Frederick Bell: Look, thank you, everyone, for attending the call. I think this is -- we did one in Q2. We did one in Q3. And I think part of this is an exercise in translating the accounts and making them simple to understand. We've got a few royalties that fall into different categories such as Caserones. But also part of it is trying to enable us to tell the story and communicate it better in terms of where the business is going, what the outlook is and what we're planning to achieve. And I think it also enables shareholders to ask us in Q4, in Q1 2025, you said you were going to do X on the previous quarterly call. Where are you in terms of that? How are you executing on it? Where have you seen success? Where have you had issues? So I think the format of this call, I think, is helpful for us as a management team but hopefully, even more so for you as shareholders and those following the company. And as always, please feel free to reach out to us directly after this call. If you have any follow-up questions or would like some more detail on that aspect and we'll always make ourselves available. Thank you, all. [Call ends abruptly]